Operator: Good day, ladies and gentlemen, and welcome to the Cameco Corporation Second Quarter Results Conference Call. I would now like to turn the meeting over to Ms. Rachelle Girard, Director, Investor Relations. Please go ahead, Ms. Girard.
Rachelle Girard: Thank you, Melanie, and good afternoon, everyone. Thank you for joining us. Welcome to Cameco's second quarter conference call to discuss the financial results. With us today on the call are Tim Gitzel, President and CEO; Grant Isaac, Senior Vice President and Chief Financial Officer; Ken Seitz, Senior Vice President and Chief Commercial Officer; Bob Steane, Senior Vice President and Chief Operating Officer; Alice Wong, Senior Vice President and Chief Corporate Officer; and Sean Quinn, Senior Vice President, Chief Legal Officer and Corporate Secretary. Tim will begin with comments on the industry and the quarter, then Bob will provide a brief orientation and overview of the ground freezing at Cigar Lake, followed by Grant, who will provide a brief update on the Canada Revenue Agency tax case. Then we'll open it up for your questions. If you joined the conference call through our website Event page, you will see a PDF file there called Cigar Lake Freezing Images, which Bob will refer to during his remarks. You can also get these images through the conference call link at cameco.com. Today's conference call is open to all members of the investment community, including the media. [Operator Instructions] Please note that this conference call will include forward-looking information, which is based on a number of assumptions, and actual results could differ materially. Please refer to our annual information form and MD&A for more information about the factors that could cause these different results and the assumptions we have made. With that, I will turn it over to Tim.
Timothy S. Gitzel: Well, thank you, Rachelle, and welcome to everyone who has joined us on the call today as we discuss Cameco's second quarter results. We appreciate you taking the time to join us out of what I'm sure is a busy summer schedule. I'll start today with a market update, followed by a brief discussion of our results. Then before opening things up for Q&A, I've asked our Chief Operating Officer, Bob Steane, to give an update on Cigar Lake, and I've also asked our Chief Financial Officer, Grant Isaac, to give an update on the Canada Revenue Agency litigation. So let's get started with a look at the global picture. While there was no fundamental change to the current conditions, there have been developments out of Japan this quarter that support a more positive long-term outlook. In total, Japan's new regulator has received restart applications from 9 utilities for 19 reactors. Sendai units 1 and 2 operated by Kyushu Electric Power have successfully become the first to pass the NRA safety inspection. Those 2 units have now entered into a period of public comment prior to the potential restart approval. While the initial restarts will be positive, we expect it will take some time for a significant number of reactors to resume operations and begin to consume the inventory built up over the past several years. And we will continue to watch for other catalysts, such as the clearing of excess supply, the return to long-term contracting and meaningful quantities and a reversal of the downward trend in uranium prices. And while the near to medium term remains uncertain, let me assure you that there are brighter days ahead for the nuclear industry. Today, there are 70 reactors under construction around the world, representing billions of dollars of investment and significant growth in future uranium consumption. We expect a net increase of 91 new reactors over the next 10 years and continued growth in the decades to come. Nuclear energy continues to be an integral part of the world's energy mix. And at Cameco, we remain excited about the future, even as we navigate through today's market uncertainty. Our people remain focused on things within our control, keeping costs down while ensuring we're running our operations safely, efficiently and reliably. That focus will allow us to weather today's challenges and to be ready, willing and able to take advantage of the strong long-term future that we see for this industry. It also helps drive our near-term results. Q2 was another strong quarter for Cameco, characterized by higher revenue, gross profit and net earnings when compared to the same period last year. Our marketing strategy and strong portfolio of contracts continues to serve us well in an uncertain market and provides us with an average realized price that continues to outperform both the spot and long-term prices. And as we reported in Q1, our net earnings for the first 6 months are up, largely due to the sale of our interest in the Bruce Power Limited Partnership. And sales guidance remains constant at 31 million pounds to 33 million pounds for the year. On the operations side, there were 2 items of note, one at Key Lake and the other at Cigar Lake. In July, we were delighted to get news that the environmental assessment for the Key Lake extension project was approved by the Canadian Nuclear Safety Commission. This paves the way for Key Lake to increase tailings capacity. It's also a first step toward increasing production at Key Lake to 25 million pounds per year and strengthening its potential as a regional milling operation. The change to the license is also required, which we will be requesting soon from CNSC staff, as well as infrastructure changes outlined in the project description. The Key Lake decision, coupled with the recent license increase at McArthur River, we believe, reflects the confidence our regulators have in our ability to operate safely and responsibly, and it's that cautious approach that led us to the recent decision to temporarily stop jet boring at Cigar Lake. We took this action when we identified a specific area that was not freezing as quickly as expected. Bob will get into the details in just a minute. But for me, this situation shows clearly that our monitoring programs at Cigar Lake are working as planned. They're providing us with detailed information about the ore body, identifying issues before they become problems and giving us the opportunity to make informed decisions. Taking this action now while the mill is not yet running should allow for more continuous production at the mine once the mill is operational. We don't expect there to be any material impact to costs as a result of this decision. However, with this pause, Cigar Lake production for 2014 is down from our plan of 2 to 3 million pounds. We now expect 2014 production to come in at up to 1 million pounds. So the production plan has shifted slightly. This means that some of the pounds expected to be milled toward the ends of the -- toward the end of the year will simply now be produced in early 2015. To talk a little more about this issue, I will now turn it over to Bob Steane. Bob?
Robert Albert Steane: Thanks, Tim. As Rachelle mentioned, we have some images available through the conference call link on our website at cameco.com to help with my remarks. These images are at the bottom of the conference call page and will be available for your reference during and after this conference call. The first figure is a diagram of the Cigar Lake ore body showing the major mine development and our initial mining area. The second image focuses on how we are freezing the ore body, and the third provides a little more detail on the localized situation in the area being mined. To orient you, please look at Figure 1. Here, you can see where our initial production is coming from in relation to the rest of the ore body. It is the yellow shaded area in that diagram. If you now look at Figure 2, you will see a diagram of our freeze program at Cigar Lake. We have a freeze plant on surface and have drilled holes from both above and below the ore body and have installed a freeze pipe in each of the holes. We circulate cold calcium chloride brine through the pipes to freeze the ground. We also installed temperature sensors, like ones shown on here in red, in many places throughout the area being frozen to monitor the progress of the freezing. Each temperature monitoring hole has multiple sensors at different levels providing over 200 monitoring points. Information from the sensors is used to calibrate and verify the output from our freeze model, and our freeze model incorporates information such as the brine temperature, the flow rates and the detailed geological information that we've obtained from the drill cores to predict the rate of freezing and when it should be available for mining. We have specific parameters that we use to assess when and where we can safely start mining from a cavity. So now if you look at Figure 3, you'll see a closer look at the specific mining area. This initial mine, this figure, it's a horizontal projection of a slice through the initial mining area. The 6 cavities that we have already mined are shown by the cluster of black circles at the bottom of the diagram. They're above the tunnel where we have the first jet boring system deployed. The white area shows areas that have met our freeze criteria and are available for mining, and we are planning to advance to the north in the tunnel where the grades -- the ore grades become higher. Immediately to the left, you can see another tunnel where we have the second jet boring system being commissioned. You can also see illustrated the buffer zone of frozen rock we require to ensure safe extraction of the ore. So as you can see, there are still areas that could be mined today. But after about 5 or 6 cavities, our progress to the north would be impeded by freezing conditions in the small area that looks like a peninsula. Now this area is important because when it's frozen, it will block off potential water inflow to a key area of high-grade ore. This area was in our mining plan for 2014. The freezing is progressing in this area. But based on our assessment, it has not advanced to the point that would allow us to proceed with mining. We are confident that this localized -- this is a localized situation based upon our temperature sensor network. The ground in this area contains about 40% water as opposed to the 25% to 30% average. The higher the water content, the slower the rate of freezing. To date, Cigar Lake has safely mined and shipped to AREVA's McClean Lake mill about 1,000 tonnes of ore. We recognized that we would have to take a pause in our mining to allow some more time for the freezing of this area before we could advance into the higher-grade material. Because the mill is not yet running and our indoor ore storage facilities are essentially full, we decided the timing would be right to temporarily stop jet boring at Cigar Lake now to allow the freezing to advance further. The impact of this pause in the mining results in some of the higher-grade material that was planned for later this year being deferred into next year. Now this deferral reduced our production forecast for this year, but not our expectation to be at 18 million pound rate in 2018. By making this choice, we believe that once we restart the jet boring, we will be able to do so on a more continuous basis. And as Tim has noted, this decision shows clearly that our monitoring programs and our approach to the operation at Cigar Lake are working as we have planned. We have a much greater knowledge of the geology and freeze rates now than ever before, and we're using that knowledge to identify potential issues before they become problems. That's how we'll make sure we do the right thing for this operation and for all of our stakeholders interested in our success. So with that, I'll turn it back over to you, Tim.
Timothy S. Gitzel: Great. Thank you, Bob. Next, I'd like to turn it over to Grant Isaac, our Chief Financial Officer, to give a brief update on the CRA issue. Grant?
Grant E. Isaac: Thank you, Tim. I just wanted to make a few brief remarks. During the quarter, we received CRA's reassessment for our 2009 tax return related to our transfer pricing case, and we paid 50% of the reassessed amount. To date, our total net payments to CRA are now $215 million. As disclosed previously, we believe CRA may complete their audit of 2010 and issue the resulting reassessment this year. You will note that the total of estimated payments has not changed from what we reported previously. However, the expected timing has shifted a bit. We have updated the schedule of potential payments in our second quarter MD&A. If we are successful in our case, as we believe we will be, we expect to recover all amounts paid to the CRA on account of this case. It is important to note that there have been no changes to our view of the case since we first disclosed the issue back in 2008. I should point out that the expected payments and timing are estimates only, since actual amounts will depend on the income reassessed in each year, the availability of elected deductions and tax loss carryover, and the timing of reassessment. We remain confident that we will be successful in our case, but have taken a cumulative tax provision of $76 million for 2003 to June 30, 2014. I want to emphasize that we do not believe that the ultimate resolution of this matter will be material to our financial position, our results of operations and our cash flows in the years of resolution. The 2003 assessment is expected to go to trial in 2015, and we expect to receive a decision by 2016. To that end, we are currently in the pretrial discovery process. And with that, I'll turn it back to Tim.
Timothy S. Gitzel: Great. Thank you, Grant. And with that, Melanie, let's open the lines for questions.
Operator: [Operator Instructions] The first question is from Ben Isaacson of Scotiabank.
Ben Isaacson - Scotiabank Global Banking and Markets, Research Division: My first question, Tim, is a strategy one. Why is there a sense of urgency to start Cigar Lake production? Is it because of sales commitments? I mean, when I think about it in an environment of excess supply, why wouldn't you keep those pounds in the ground until they're needed? One of your Saskatchewan peers, PotashCorp, does this strategy in the potash market in a very kind of similar type market, and it seems to work quite well.
Timothy S. Gitzel: Well, thanks, Ben. Well, first off, it's a great project, a project we've been working on for many years. We want to get it up and running to the 18 million pounds by 2018 as we've projected, and you see, if you look through our technical report, what our cash costs will be. It's a good project. Secondly, we need the pounds. We've got sales commitment for those pounds. And so we need the pounds. So it's really those 2 pieces.
Ben Isaacson - Scotiabank Global Banking and Markets, Research Division: Okay. That makes a lot of sense. And then my second question is on the industry with respect to Japanese inventory. Some utilities will eventually consume their inventory when those reactors restart, and some reactors won't restart. And for those that don't restart, are we starting to see some of that inventory find its way to the market? Number one. And then number two, for the pounds that you have sold to those Japanese utilities, do you have a right of first refusal to buy those back and sit on those pounds?
Timothy S. Gitzel: Yes. I'm going to let Ken answer that. I'd just say we were a bit brief on Japan in our opening comments, but we're starting to see -- I think it was a -- we may have underplayed the first step, the Sendai reactors getting approval from the NRA. We know -- we've waited a long time for that and probably still a long way to go on that, getting those going. Good news, 19 units in the queue, Japanese utilities spending billions of dollars getting their facilities ready, government policy in favor of nuclear restarts. So we're still optimistic on Japan. We think it's just taking longer. But I'm just going to get Ken to answer the question on the inventories.
Kenneth A. Seitz: Right. Yes. So thanks, Ben. With respect to the first question, it continues to be the same as we discussed last quarter. We have not seen any of those inventories coming into the market. And again, we sell to all of the Japanese utilities. We're making our deliveries this year. And when we talk to our customers, they're looking at their own fleets and their own portfolio, and they know that some of their reactors will restart, but some won't. And so there will be a redistribution of inventories, but we have not seen any coming to the market. With respect to your second question, do we have a preemptive right on pounds coming should they come to the market? And I will say that most of our contracts or the absolute majority do have a no-resale clause. And so when a customer takes delivery from Cameco, they're not allowed to resell our material under those contracts. So there is a conversation typically with Cameco if that were to happen. But again, we haven't seen that happen.
Operator: The following question is from Ralph Profiti of Crédit Suisse.
Ralph M. Profiti - Crédit Suisse AG, Research Division: Bob, can you help us on how we can think about a rate of advancement of freezing in, say, cubic meters over time or horizontal or vertical meters over time so that we can think about assessing progress?
Robert Albert Steane: That's a good question, Ralph, and I'm not sure I could, off the top of my head, give you an answer. It -- overall, it's -- let's say, at McArthur River, it takes -- it's a different ground. It freezes easily, a bit more readily. It's about 6 months to establish a freeze wall. At Cigar Lake, we're seeing -- to establish a block of frozen ground in the 2 to 3 years. What we're seeing at Cigar Lake is much more complicated geologically than McArthur River, especially with respect to freezing, and it's to do with the amount of clay alteration. And we're seeing -- and from all our surface holes, we've got a lot of 5-meter spacing, a lot of detailed geological information. And the more clay alteration we see, clay alteration, it means more moisture. And more moisture, it means longer time. So we see for a large block, which was a block freezing at Cigar, it's typically -- we establish a big block area, and then it takes us a couple of years. So we need to be a couple of years ahead of our mining to get that, to be there, to be ready for our mining. In the short term, like those diagrams that I looked at and the peninsula area that I've outlined, that's a matter of months to close that, and then it opens up a mining area.
Ralph M. Profiti - Crédit Suisse AG, Research Division: I see. Okay. That's helpful. And maybe one for Tim or Ken, and this is in reference to the language in your MD&A about meeting delivery needs with some inventory draw and some market purchases. My question is, what are your inventory levels now? I recall a figure of sort of 6 months of sales as Cameco's strategy. Has that target changed? And is there a critical level where you would not want your own inventories to fall below?
Timothy S. Gitzel: Ralph, you're right on. It's about 6 months, is what we normally keep. We can dip into that, and we wouldn't get even close to any critical levels between our production purchases, planned purchases and the inventory draw. So we can dip in and out of there, but we've got a lot. So we're ready.
Operator: The following question is from Raymond Goldie of Salman Partners.
Raymond Goldie - Salman Partners Inc., Research Division: My question's for Bob. Your definition of a peninsula of slower freezing implies that it's freezing more slowly than your models had forecast, and I'm wondering about the reasons that the models had forecast higher freeze rates than actually encountered. Was it just that this area had a higher water content than you had expected? Or is the groundwater there circulating in the basin more than modeled? Or is there more clay alteration than you modeled? Or could it be that since you mentioned, Bob, that the peninsula is close to high-grade ore, could it be that the model doesn't incorporate the heating effects of radioactive decay?
Robert Albert Steane: A wonderful -- Ray, a wonderful set of questions.
Raymond Goldie - Salman Partners Inc., Research Division: One question.
Robert Albert Steane: The short answer is all of the above. But the key in that area -- I'll back up. Our model does incorporate heat generation from high-grade ores. That is built into the model. The -- that specific area, the -- it is the clay alteration and clay content, which is linked -- it's higher moisture. That area specifically is running 40% to 50% moisture. And some of that, our earlier model, we were working -- we didn't have as much information as we have recently from the surface freeze holes, so the earlier assumptions built into the model have been refined by the more detailed geological information. And that area is specifically a moisture content issue, higher clay alteration than we had earlier understood just at that area.
Operator: The following question is from Edward Sterck of BMO.
Edward Sterck - BMO Capital Markets Canada: So I've got 2 questions. Firstly, I'm going to start with, I'm afraid, the CRA dispute. And I just wanted to get a feeling for the process ahead. The way the CRA is accelerating their audit process, and they're implementing that the penalty payments and so on and so forth looks, in some respects, as if they're trying to push Cameco towards a settlement just by ratcheting up the pressure as it were. And I was just wondering, is that still part of what's available? Or is that sort of not in the cards, and it's all going all the way to the court at this point in time?
Timothy S. Gitzel: Ed, it's Tim. I would just say it's way too early on that. I can tell you, we think we're in a very solid position as far as the CRA case goes. And so they -- we have received the 2009 assessment. We may get the 2010 assessment this year. But I can tell you that hasn't changed our position at all. We think we're in very solid position legally, and we're going to see it through.
Edward Sterck - BMO Capital Markets Canada: Okay. Great. And then a much easier question for the second one, which is on Rabbit Lake. How are things looking there at the moment? And is there an intention to try and proceed with mining beyond, say, 2017 or whenever the end of the current mine plan is?
Timothy S. Gitzel: Well, right now, we're -- well, we're in shutdown, actually, summer shutdown at the moment. But started out a little slow, production this year, and now plan to catch up by the end of the year. It's a mine that, we say, keeps ticking. It's been going for a lot of years. We are constrained by -- going forward, by tailings capacity, so we're looking at those issues now with some of the infrastructure we would have to put in to continue operations. So what I'd just say, Ed, that we're looking at that. And once we have some more information, we'll bring it out.
Operator: The following question is from Greg Barnes from TD Securities.
Greg Barnes - TD Securities Equity Research: Bob, back to that blue picture of the freeze -- frozen areas. The main block where you've actually done the mining already, how long does it take to freeze that? Does it take 2 to 3 years?
Robert Albert Steane: Greg, yes, it did. We had some freezing there from before with -- from underground that then freeze the water inflow, and that tended to stay frozen. It had reached the -- it had warmed, but not thawed so. Yes, that did take that sort of length of time. And we've had surface freeze holes going for 18 months now. And specifically, we targeted that area with the surface freeze holes for those to where we'd be starting in production to enhance the ramp-up.
Greg Barnes - TD Securities Equity Research: Okay. So switching subjects, I guess, to Ken. The dispute you had with the utility customer that you've settled, was it that they did not want to take the material? Or was it a pricing issue? And where regionally were they?
Kenneth A. Seitz: Greg, I'd rather not say exactly where they were, but I will say it was both a not wanting to take the material and a pricing issue. And then of course, the 2 are related, and that -- and you can see the settlement. The price under the contract was above the current market. And so they issued a force majeure notice to us. We disagreed with that. We took it to an international arbitration panel. The panel agreed with us, and then we did a sort of mark-to-market settlement, which you see in our disclosure.
Operator: The following question is from Daniel Rohr from Morningstar.
Daniel Rohr - Morningstar Inc., Research Division: Just looking at your book of long-term contracts, what would you say the average vintage year for your long-term contracts right now is, in terms of when those deals were agreed to?
Timothy S. Gitzel: Well, I'd say there's a big mix, but do you have a vintage year, Ken, in your mind?
Kenneth A. Seitz: No. If we look at sort of when we ramped up contracting and then ramped it back down, of course, when prices ran in the sort of 2007, '08, '09 period, we did a lot of contracting, and we were very public about that. So maybe those are the vintage years, in that we wrote some favorable contracts that we're now enjoying. And now you'll -- you see us writing fewer contracts in this environment.
Daniel Rohr - Morningstar Inc., Research Division: All right. And then you mentioned you're still on track to hit the 2018 target as far as the Cigar Lake ramp. How does the pause in jet boring impact the shape of the ramp schedule for '15, '16 and '17, if it does at all?
Timothy S. Gitzel: Well, we haven't really put that out yet. I think, the shape of the ramp schedule, we'll be putting more information around that. What we've just done is we're -- as we worked through the mining, we start with some of the lower-grade cavities and then work our way through. So we've just pushed some of that into early next year. And so as we say, it'll change our production a little bit this year, but we're still on track for 2018.
Operator: The following question is from Steve Bristo from RBC Capital Markets.
Steve Bristo - RBC Capital Markets, LLC, Research Division: I'm just wondering if you can help me understand 1 aspect of your guidance. In the uranium, you're guiding for a revenue increase of 5% to 10% at an exchange rate of $1.18. And if I use the maximum sales volume in your guidance, the 33 million pounds, that would imply you require a realized price of over USD 48 per pound. And any other variable you consider would require an even higher price. So I'm just wondering, is that revenue growth realistic? Are we going to see higher realized prices in the back half of the year? Or what am I missing?
Timothy S. Gitzel: Grant?
Grant E. Isaac: Yes. Well, certainly, without the benefit of seeing the math you're doing , I just would say it is a realistic number. We obviously wouldn't put it out there if it wasn't realistic. It is one that we did not change the guidance because we think it accurately reflects the yield that we will get under our contract portfolio. We're certainly happy to discuss with more detail the math you're doing, but it just doesn't reflect our view.
Operator: The following question is from Oscar Cabrera from Bank of America Merrill Lynch.
Oscar Cabrera - BofA Merrill Lynch, Research Division: Just if I may go back to the question that Greg asked and understand the sensitivities around it. But if -- are you seeing more utilities in -- around the world trying to do something similar to this, or this is just basically related to the Fukushima accident?
Timothy S. Gitzel: Oscar, it's Tim. This was a bit of a one-off. This is not indicative of any pattern we're seeing at all.
Oscar Cabrera - BofA Merrill Lynch, Research Division: Okay. And then in terms of the Cigar Lake ramp-up, can you give us an idea if there's going to be additional capital expenditures requirements and/or an impact on your estimate for cash cost as you reach your peak production by 2018?
Timothy S. Gitzel: Oscar, no change in either one of those categories for us going forward. This is just, as we said, a slight delay for this year -- on the calendar year, if you like, of production that once the mill's up and running, we will make up and be still on track for 18 million pounds by 2018.
Operator: The following question is from Matt (sic) [Max] Brett from Mergermarket.
Max Brett: This is Max Brett, reporter with Mergermarket. I'm just wondering if the executives on the call could give any sort of guidance as to potential acquisition activity or external growth opportunities from the company.
Timothy S. Gitzel: Well, Max, thank you for the question. It's Tim Gitzel. It's something we always are looking out for. We've made some acquisitions over the last several years in the down-market. We're very pleased with those acquisitions. And I would just say that's something we continue to keep our eye on going forward.
Operator: The following question is from Jim Ostroff from Platts.
Jim Ostroff - Platts, Inc.: A question, Tim, with respect to Inkai, you mentioned here -- or that production is expected to be about -- but no change, about 3 million pounds this year, Cameco's share. And I'm just trying to get some idea here how that compares with last year, and if there's anything you could say about outlook for 2015.
Timothy S. Gitzel: Well, I'll tell you -- Jim, thanks for the question -- that Inkai's producing well. We had a little bit of weather, if you like, at the start of the year, significant weather that caused us a bit of a delay, but nothing serious. We're on track to produce at the 2,000-tonne level, if you like, about 5.2 million pounds, 3 million our share for this year, which is similar to last year. So we're really at design capacity, and that's what the plan is for this year.
Jim Ostroff - Platts, Inc.: But then -- and so how does it compare with last year production there?
Timothy S. Gitzel: It's exactly the same.
Jim Ostroff - Platts, Inc.: Same. Okay. And finally, is there anything you could say about production next year?
Timothy S. Gitzel: We just plan to produce at the level this year that we said. We're at 2,000 tonnes. And I don't think we've said anything for next year, but nothing new there.
Operator: The following question is from Emily Meredith of Nuclear Intelligence.
Emily Meredith: Two questions, both sort of related to the enrichment side. Could you clarify your value? I think you've got $165 million related to GLE in your MD&A, but I'm a bit confused, given that GE has written down $99 million related to their 51% share of GLE. And then sort of following on that. If GLE is indeed something that isn't going to go forward, is there any renewed interest in looking at a URENCO stake?
Timothy S. Gitzel: So Emily, thanks for the question. We won't comment on the second part, but I'll ask our Chief Financial Officer, Grant, to talk about the valuation question.
Grant E. Isaac: Yes. Certainly, as we look at GLE, we have a number of triggers that we consider for that investment, and one of them is the investment by other partners. And so as we look ahead and put the note in there that we understand that one of the partners is reducing their spending, we have to assess what that means for us from a carrying cost point of view, and that work is a Q3 event. It's not a Q2 event at all. I would just say the actions that GE took, you would have to talk to them about their -- the specifics, but my understanding, it was a reclassification under U.S. GAAP that actually is not consistent with IFRS, which is how we report. So if there's differences in there, it's just -- it's due to the fact we report under different accounting systems.
Operator: The following question is from Edward Sterck of BMO.
Edward Sterck - BMO Capital Markets Canada: So I just wanted to pop back and ask 1 further question, which is -- I had to drop off the call for a bit, so it may have already been asked, so apologies -- I apologize if so. Just regarding the increase in CapEx guidance, is that relating only to Cigar Lake and perhaps the lower revenues that would be received from there and so not capitalized this year?
Timothy S. Gitzel: Grant?
Grant E. Isaac: Yes. The CapEx increase, modest as it is, but it did hit the outlook table, so some guidance there. There were 2 factors. One is Cigar Lake, but that really is the delay in declaring commercial production. And until that time happens, we would capitalize those expenses. So if you think about it, it's a reclassification of a spend that would have occurred anyway. It would have been OpEx in a commercial production declaration. It's CapEx until that happens, and that's been a bit delayed. But also in there are some additional costs at the revitalization program at Key Lake, but the balance of it is just the reclassification of spend at Cigar.
Operator: The following question is from Greg Barnes of TD Securities.
Greg Barnes - TD Securities Equity Research: On the freezing diagram again, was the next area to be mined within that red box?
Timothy S. Gitzel: Thanks, Greg. Sorry, we're just discussing the ruthless [ph], but I'll pass that over to Bob.
Robert Albert Steane: I'm sorry, Greg. Did you say, is the next area to be mined in that red box?
Greg Barnes - TD Securities Equity Research: Yes.
Robert Albert Steane: No. That red box is highlighting where that freeze peninsula or the -- call it the unfrozen peninsula. I should clarify, it's not unfrozen, it just hasn't reached our minimum temperature of freezing that we require. That's what the red box is highlighting, is that -- and also the localized area where we have some very high water content. The next areas to be mined are, if you start on that tunnel that shows where those across -- where the cavities have already been taking -- taken, sorry, we intend to keep advancing to the north, and that's the area that will be mined. And we'll be mining that from that -- that's the 781 crosscut, and the one adjacent to that is the 765 crosscut, where we have the second JBS. It's installed in there, it's being commissioned. That will start later this year taking ore as well, and we'll be working our way towards the north. It's -- when that peninsula neck is closed, then that opens up all of that area. So now there's those areas that are the safety buffer zone for mining, but it's -- we want to connect the dots. You move your way up, and that's the link point. Once that point is closed, that opens up a lot of that area for mining. So that's where...
Greg Barnes - TD Securities Equity Research: So then if you -- yes, if you close that area off then, does that area immediately to the north of where you've been mining, does that all turn white?
Robert Albert Steane: Pretty much.
Timothy S. Gitzel: Yes.
Operator: [Operator Instructions] The following question is from David Snow of Energy Equity (sic) [Energy Equities].
David Snow: I'm wondering, on a macro basis, if you could share with us your estimate, if you have one, for the world production or supply of mined uranium for last year, this year and annually for the next 2 or 3 years to give some -- add color on the amount of delays that your press release referred to and what it would look like in your macro picture.
Timothy S. Gitzel: Yes. So just on the macro side, we see about 435 reactors operating today. Our estimate now is 91 net new reactors over the next 10 years. Consumption of uranium, about 170 million pounds, we see that increasing 3% to 4% per year to about 240 million pounds over the next 10 years. And so certainly, going forward, on the demand side, we like the way that looks. Supply side, certainly, a little trickier. We're watching some supply destruction, I would say, and you can understand why in this market. I think someone was asking how many projects in this market if you were selling at today's spot price would be underwater, and it is significant, I would say. So that, it's very difficult for everyone. Looking back, I think last year's production was very similar, maybe a little bit less than this year, and it hasn't changed really that much in the last couple of years, maybe by from 152 million pounds to 160 million pounds, something like that. So it's very small change. And you might see that flat now and even trickling back the other way, given some of the projects that have been shuttered. So yes, tough going on the supply side, but demand continues to grow. So that's what we're preparing for.
David Snow: How far out in the future would you see the flat to down profile extending?
Timothy S. Gitzel: Well, if you can tell me where the price is going over the next few years, I'd have a better indication. But I can just say, today, with today's prices, it's very tough for all producers.
David Snow: Okay. And what do you think Kazakhstan's going to do? Would they kind of stay flat also in around 55 million pounds or wherever they're at?
Timothy S. Gitzel: Yes. I don't know, you'd have to ask them. Dr. Shkolnik [ph] would be delighted, I'm sure, to have a conversation about that. But the indications are that certainly won't see the increases we have in the past years.
Operator: This will conclude the questions from the telephone lines. I would like to turn the meeting back over to Mr. Tim Gitzel for his closing remarks.
Timothy S. Gitzel: Well, thank you very much, operator. Just in closing, I'd like to leave you with a couple of thoughts. First, Cameco is continuing to deliver strong results in that uncertain market we just talked about. What we're doing here is remaining focused on things within our control, like costs, keeping them down, making sure we operate safely, efficiently and reliably. And we're excited about the future and preparing to take advantage of that future, a good future for nuclear energy. And so to all of you, I say thanks for joining us today. And if you're having some summer vacation, do it safely. We tell our employees to practice on their vacation the same safety that they do here at work. And so I'd encourage you to do the same. Have a great summer. Thank you very much.
Operator: Thank you. The Cameco Corporation Second Quarter Results Conference Call has now ended. Please disconnect your lines at this time. We thank you for your participation and have a great day.